Operator: Good morning. My name is Melissa and I’ll be your conference operator today. At this time I’d like to welcome everyone to the PFSweb fourth quarter year end earnings conference all. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question and answer period. (Operator Instructions) It is now my pleasure to turn the floor over to your host, Todd Fromer, Managing Partner of KCSA. Sir, you may begin your conference.
Todd Fromer: Good morning and welcome to PFSweb’s fourth quarter and year end 2007 conference call. Before we begin I must state that the matters discussed on this conference call consist of forward-looking information under the Private Securities Litigation Reform Act of 1995 and is subject to and involves risks and uncertainties which could cause actual results to differ materially from the forward-looking information. PFSweb’s annual report on Form 10K for the year ended December 31, 2006 and Form 10Q for the three and nine months ended September 30, 2007 identify certain factors that could cause actual results to differ materially from those projected in any forward-looking statements made and investors are advised to review the annual report and Form 10Q and the risk factors described therein. These factors include our ability to retain and expand relationships with existing clients and attract and implement new clients, our reliance on the fees generated by the transaction volume or product sales of our clients, our reliance on our clients’ projections or transaction volume or product sales, our dependence upon our agreements with IBM, our dependence upon our agreements with our major clients, our client mix, their business volumes and the seasonality of their business, our ability to finalize pending contracts, the impact of strategic alliances and acquisitions, trends in the ecommerce outsourcing government regulations, both foreign and domestic, and the market for our services, whether we can continue and manage growth, increase competition, our ability to generate more revenue and achieve sustainable profitability, effects of changes in profit margins, the customer and supplier concentration of our business, the unknown effects of possible system failures and rapid changes in technology, foreign currency risk and other risks of operating in foreign countries, potential litigation, potential delisting, our dependency on key personnel, the impact of new accounting standards and changes in existing accounting rules or interpretations of those rules, our ability to raise additional capital or obtain additional financing, our ability and the ability of our subsidiaries to borrow under current financing arrangements and maintain compliance with debt covenants, relationship with and our guarantees of certain of the liabilities and indebtedness of our subsidiaries, our ability to successfully implement the anticipated benefits of the merger, eCOST’s potential indemnification obligations to its former parent, eCOST’s ability to maintain existing and build new relationships with manufacturers and vendors and the success of its advertising and marketing efforts, eCOST’s ability to increase its sales revenue and sales margin and improve operating efficiencies and eCOST’s ability to generate a profit and cash flow sufficient to cover the value of its intangible assets. PFSweb undertakes no obligation to update publicly any forward-looking statement for any reason even if new information becomes available or other events occur in the future. There may be additional risks that we do not currently view as material or that are not presently known. At this time I would now like to turn the call over to Mr. Mark Layton, Chairman and Chief Executive Officer of PFSweb. Mark, the floor is yours.
Mark C. Layton: Again, I’d like to add my welcome to everyone and today we will review our 2007 fourth quarter results as well as our year end results. Here with me today in Dallas are Tom Madden, our Chief Financial Officer and Mike Willoughby, President of our Services Group. Following our prepared remarks this morning Tom, Mike and I will be available to answer your questions. We’re happy to do that so please have them ready to go. In short this morning I’m happy to bring you a very positive report on our results for 2007 and our outlook for the future. Our results for 2007 show a strong performance across most all of our key metrics. What I’m most happy about is that we have now achieved a consolidated net profit for the third consecutive quarter. Before I turn the mic over to Mike, let me summarize a few key factors which I believe are critical indicators that are driving our improving results and also indicative that each of our divisions are healthy and that we’re headed in the right direction to grow our operations and increase profitability. First we are increasing profitability on a consolidated basis and this is directly attributable to our overall growth and to the significant operational and the financial improvements we have achieved over the past year in our eCOST operating entity. Second, growth is accelerating which is a key factor in our optimism about our future results. During 2007 eCOST’s revenue grew approximately 18% to $104 million over the prior year. We also did this while improving gross margins to a little over 8.6% on an annual basis and at 9% on a run rate basis as we exited the fourth quarter. At further end of the accelerating growth is our PFSweb service fee revenue which increased 11% over last year and its growth opportunities remain strong as we look to 2008 with approximately $35 million in our new business pipeline based on current client projections and once fully implemented. The third key point is that under Mike’s leadership over the last six months we have re-engineered, expanded and repositioned our service business offering and marketing efforts to provide our clients and potential clients with a wider array of end-to-end ecommerce capabilities. Mike will describe this more in detail in his prepared comments but we believe this is an area that is very fertile for future growth and as a result of this emphasis we believe we have experienced accelerating new business wins, a much stronger competitive position in the market and a higher quality of potential new business in our pipeline. In particular we believe that the hottest segment for potential new business continues to be in the direct-to-consumer segment working with major brands and manufacturers to expand their web commerce capabilities. Fourth our results clearly show a business model that can drive greater leverage and scale through our technology and operational infrastructure. We’ve said for some time that critical to improving bottom line performance was that we needed greater scale. Greater scale on leverage means critical improvement in our financial performance and as you’ve seen over the last three quarters as we grow bottom line performance improves. This past year adjusted EBITDA was above our guidance for 2007 and as Tom will discuss in more detail is up significantly compared to 2006. Further we’ve seen growth in our client business as well in what we call merchandise sales as defined in our published documents where merchandise sales grew to over $2.9 billion in 2007. So with these summary points as a broad backdrop let me turn the call over to Mike who will give you some information on our services business and then I’ll be back to give you some more review on the eCOST business.
Michael C. Willoughby: Good morning everyone. Before beginning my comments I’d like to remind you that when we refer to services business segment we’re including both our supply distributor business and the PFS service fee business. Both of these businesses have essentially the same operating characteristics but slightly different financial models. As Mark indicated we’re very encouraged with the results for the service fee business in 2007. We’re excited about our outlook for the future performance of the business in 2008. In the fourth quarter of 2007 our results reflect an improvement over 2006 as our service fees revenues increased 11% to $21.5 million and that’s compared to the same period in the prior year 2006. The increase in revenues is primarily due to several new contracts that were added in 2007 and late 2006 including LEGO brand retail and Riverbed Technologies. In addition we experienced an increase in the amount of project work that we had in 2007 versus 2006. In the fourth quarter of 2007 we completed the integration of a customer service solution agreement that we signed in September of 2007. This was with an undisclosed Fortune 100 big box retailer. This agreement supports this retailer’s direct-to-consumer business. The program quickly ramped up in the fourth quarter and due to our performance and the client’s positive feedback we believe there is the potential to expand the program into 2008. As previously announced we’ve launched a new custom solution to support tractor supply companies’ web commerce initiatives. These include customer contact services, warehouse management and other fulfillment services. Now I’d like to share some details around several additional service fee agreements we signed since the last quarterly conference call as well as a couple of contract extensions. We’re pleased to announce the recent multi-year contract extensions of two of our larger contracts. While signing new contracts is very important to the growth of our business it’s equally if not more important that we execute our services for our existing customers as we work to earn their business every day and it’s important that they value the strategic importance of our relationship as they continue to partner with us. From a new business perspective we signed an agreement with Urban Brand to support the online stores for two women’s clothiers, Ashley Stewart and Marianne. Ashley Stewart is one of the leading women’s specialty retailers in urban America which operates over 215 stores throughout the United States and the US Virgin Island. Marianne is a leading women specialty retailer targeting Latino women which operates over 70 stores located throughout urban areas in Miami, Los Angeles as well as Texas, Puerto Rico and the US Virgin Islands. Through our partnership with these two brands we will provide high test customer care and oral fulfillment solutions with a focus on extending a growing brick and mortar presence to reach online shoppers. As part of the agreement we will also provide custom tailored fashion and apparel customer care services for these two brands from our Plano base customer contact center. We currently expect this client to be implemented and begin contributing to revenue in the second quarter of 2008. Thirdly we recently won and implemented a new agreement to launch a European ecommerce site for a major outdoor lifestyle brand. Under this agreement we’ll provide a complete end-to-end ecommerce solution including ongoing site management, customer care services, fulfillment services and online payment processing. And lastly as you might have seen yesterday we announced a new agreement with Discovery Channel Store, Inc. to support DiscoveryStore.com and the Discovery Channel’s store catalog. We’re supporting this initiative with technology, with customer care and fulfillment. The solution will also include technology and services support for front end product planning and product procurement. Discovery offers an exciting line of products that tie into its hit television program including Plant Earth and Dirty Jobs. Like Discovery programming its merchandise attracts a broad range of customers that draw approximately 13 million unique visitors annually to their website and nearly 10 million customers receive the catalog every year. The strengthening of our portfolio through these agreements has increased our presence in the online retail space and this is our primary focus for growing our service fee business. We believe our global infrastructure and our experience positions us to effectively compete for and win business in this hot direct-to-consumer arena. As Mark mentioned before our prospective new business pipeline is currently valued at about $45 million based on client projected volumes once those contracts will be fully implemented. As I indicated the last conference call several of our current prospects are US retailers and brand name companies looking to expand globally. They’re looking for end-to-end web commerce solutions to support their expanding online initiatives and we believe the positive trend in the size and quality of our new business pipeline along with the ongoing presence in this pipeline of qualified end-to-end global web commerce opportunities helps confirm our objective to continue to focus on providing end-to-end global solutions for online retailer and major brands. To best meet the needs of existing and potential clients as Mark said earlier we announced a next generation ecommerce solution in February that positions us to be among the leaders of end-to-end ecommerce providers. As part of this solution we strategically aligned our services with Demandware which is a leading ecommerce platform provider. When we leverage our combined experience to bring to market a revolutionary new product that redefines end-to-end commerce. From a competitive position we believe that this combination provides one of the most compelling single sources of ecommerce outsourcing that’s available in the industry today. This strategically important partnership empowers retailers and brand with total control over their entire shopping experience and provides them with the continuous competitive advantage as our completely on demand solution flexes to meet their changing business requirements. We believe this solution will enable retailers and brand consumer manufacturers with the ability to employ a total outsourcing solution customized to their particular web commerce strategy and they can do this without losing any of the brand control associated with earlier end-to-end outsourcing solutions that were available before. Now, for some highlights from our closing eCOST business I’d like to turn it back over to Mark. 
Mark C. Layton: I’d just like to add my comments about the excitement on the end-to-end deal. We really seem to have found a fertile area rampant for growth. We’re kind of seeing this whole web commerce tool initiative as companies look to move to the next generation of their web commerce activity driving a lot of growth potential for our services business. So, my congratulations to Mike and his team for finding this market and for reengineering that business, it’s been an exciting last six months and our outlook for the year is very good. Now, turning over to the eCOST business, to state the obvious I believe that you can see in the results that eCOST turned a major corner this past year and saw significant financial improvement both in the top line as well as the bottom line when you compare it to 2006 and 2006. Revenue for the fourth quarter and the holiday season was up on a total basis of about 35% when you compare it to 2006 as well as gross margins being up to about 9% for the fourth quarter compared to 6.9% for the fourth quarter of 2006 so significant financial metric improvements. We still have things we’ve got to improve on and a way to go but definitely solid trends. I don’t have the exact numbers here in front of me but the business-to-consumer segment in the fourth quarter was up higher than the 35%, the BTD area as is seasonally normal would have been a little bit slower or a little bit less than the 35% but also growing as well in the fourth quarter. So very good fourth quarter results and the trends are looking quite good for us at eCOST. Clearly at year end we’re still intensely focused on getting the business to achieve breakeven and eventually profitability. We continue to believe that the breakeven for the eCOST business right now is at a run rate of approximately $10 million in revenue per month and about 10% gross profit margins. We’re operating just below that at this point. We believe these goals can be achieved in the near term and we continue to make improvements to the shopping experience for consumers, the site is evolving almost on a weekly basis at this point with a lot of activity going on out there both in the look and feel and in the range of our product offering. Our big move right now is to work to offer a wider selection of merchandise with higher margin product launch. So with that as a backdrop on the eCOST side let me give you some recap of the customer service side improvements that we’ve made over the last quarter and also some additional operating data for the business as I’ve provided to you in prior quarters. In the past several months we’ve been finalizing the addition of the number of new virtual warehouses bring the total number of SKUs listed on the eCOST.com site now over 170,000 products. That’s up from 110,000 SKUs just in the last quarter so we’re up about 60,000 products. Virtual warehousing agreements offer us several benefits. They don’t require a large sum of capital for inventory and at the same time they don’t include the normal costs of warehousing and so on because we rely on our partners to inventory and ship products for us. As of today we’ve got 15 virtual warehouse agreements that are fully functional. Over the last quarter we’ve added basically what we call one super VW relationship that helped us enter into an expanding offering in the home and sports and leisure categories and you’ll see a lot on this particular category expansion in the months to come. On the marketing front we’ve made tremendous changes over the past year. We’ve put a much greater emphasis on email and viral marketing activities through the advertising of our limited time, limited quantity deals. The focus on finding great deals has become a cornerstone of what we believe the eCOST.com shopper seeks and why they return and even better why they tell their friends about eCOST. With the new site enhancements in place we are capitalizing on selling incremental products with the original order as well. Average order sizes have increased because of the activities that we’ve taken and the enhancements to the site we believe. We now have a much better picture of the life value of our customers, our customer acquisition costs and how to acquire customers profitably than we have had in the past. We believe our customer acquisition marketing while very challenging is now armed with better information, is making greater strides in driving increased visitor and site traffic and is allowing us to improve customer retention overall. Collectively we believe that these actions will results in the customer acquisition and retention model that makes long term financial sense for us. The holiday season of 2007 was a great success for eCOST. Revenue as I mentioned was up 35% over the prior year, quality levels remained high throughout the season and that resulted in many happy faces on Christmas morning. Notebook computers, portable GPS devices and high definition LCD TVs were among the hottest selling deals in our bargain countdown section during November and December. Our product management team, what we call our deal seekers, did a fabulous job in prospecting great deals and in managing overall inventory levels to ensure we exited the season in a financially healthy inventory position. For 2008 at eCOST our focus remains on continuing growth top line with the consumer electronics and technology products central to the growth but to achieve even greater growth and to drive a substantive bottom line financial performance improvement we must expand our gross margins on product sales. So to address this in the coming weeks as I just mentioned we will expect to launch two new stores on the eCOST.com site, one for home products and one for a selection of sports and leisure products. We believe that these stores will provide us a range of products with higher gross margin potential and an additional avenue for growth. Our strategy going forward is to become known as the web store for deals across a broad range of product categories much broader than we had historically been known for in the past. As we achieve success in these new categories we see an opportunity to accelerate growth further through expanded advertising avenues. Simply stated there are just more situations available to us to spend ad dollars whether they’re online or offline that make sense for us financially to attract customers, when the resulting product sales come from higher margin product categories. Finally I’d like to just give you some overview on operating metrics for eCOST for the quarter, this is for the quarter ended December 31st, 2007. We had approximately 1.8 million total customers on our list at the end of the fourth quarter that compared to 1.6 million at the end of 2006. New customers for the fourth quarter of 2007 totaled 32,438 that compares to 29,915 new customers in the same quarter a year ago. For the three months ended December 31, 2007 eCOST reported a total of 83,700 orders shipped with an average order value of $339. That compared to 74,700 orders shipped in the same quarter in 2006 when we had an average order value of about $272. Ad expenses for the fourth quarter were about $220,000 that compared to about $409,000 for the fourth quarter of 2006. The estimated cost to acquire a new customer for the fourth quarter of 07 was $6.78. This excludes our catalog costs which are targeted towards existing customers. That compared to $13.65 for the fourth quarter of 2006. Those metrics are quite important for us in terms of being critical factors in how we’re improving the financial model, our cost to acquire has to continue to come down or the gross margin dollars have to go up or a combination thereof in order to make it a profitable acquisition activity. Now let me turn the floor over to Tom. He will give you some information on the financials for the fourth quarter and then we’ll be available for questions after Tom.
Thomas J. Madden : Let me first start by providing a brief overview of our consolidated operating results for the quarter and year ended December 31, 2007. Then I will provide select operating highlights for certain business segments as well as an overview of key balance sheet items. As reported in our press release our consolidated revenues for PFSweb for the quarter ended December 31, 2007 were $122 million a 12% increase compared to $109 million reported for the fourth quarter of 2006. Gross profits for the fourth quarter 2007 was $13 million or 11.8% of net revenues excluding pass through revenues as compared to $9.8 million or 9.7% of net revenues excluding pass through revenues in the fourth quarter 2006. The increased consolidated gross profit margin is primarily attributable to the improved performance at eCOST.com. As we have previously discussed we utilize adjusted EBITDA as a key metric in evaluating our operational performance. In the fourth quarter our consolidated adjusted EBITDA was $3.5 million. This compares to $860,000 in the prior year period. For the fourth quarter net income was $661,000 or $0.01 per share on a basic and annual diluted share basis as compared to a net loss of $6.5 million or $0.14 per basic and diluted share for the same period last year. Another key metric we are using in evaluating our operational and financial performance is what we defined in today’s release as non-GAAP net income. To calculate this we exclude from net income calculated in accordance with GAAP the impact of stock-based compensation expense and amortization of identifiable intangible assets. For the fourth quarter December 2007 non-GAAP net income was $1.1 million or $0.02 per basic and diluted share as compared to a non-GAAP net income loss of $2.5 million or $0.05 per basic and diluted share for the same period last year. Obviously as Mark alluded to earlier we are quite pleased with the results for this quarter especially with it being our third consecutive quarter of consolidated net income. We believe this clearly illustrates the progress that we are making throughout our businesses. Now turning to the results for the full year our consolidated revenue for calendar year 2007 was $446.8 million compared to $423.3 million in 2006. Revenues in 2007 were negatively affected in our supplies distributors business by reduced vendor promotional activity and the impact of foreign currency fluctuations. However, these issues were more than overcome by further growth in our service fee and eCOST business activities. Gross profits for 2007 was $46.8 million or 11.3% of net revenues excluding pass through revenues compared to $39.7 million or 9.9% of net revenues excluding pass through revenues in 2006. Gross profit for the year in our service fee unit was 32.2% of service fee revenues which was a slight improvement as compared to the gross margin of 31.4% earned in 2006. Adjusted EBITDA for calendar year 2007 was $10.9 million as compared to $2.5 million in the prior year. GAAP net loss for the year was $1.4 million or $0.03 per basic and diluted share compared to a GAAP net loss of $14.5 million or $0.34 per share for the prior year. Non-GAAP net income for 2007 for the entire calendar year was a positive $0.2 million which equates to about $0.00 per basic and diluted share as compared to a non-GAAP net loss of $9.4 million or $0.22 per basic and diluted share for the prior year. Again as these results indicate we are extremely pleased by the performance in our results in both our service and eCOST.com businesses this year. Turning now to the performance of select business segments for the year ended December 31, 2007, first service fee revenue increased 11% to $21.5 million from $19.4 million in the prior year quarter. This increase is primarily due to incremental revenue attributable to the implementation of custom solutions for new clients such as LEGO and Riverbed and others within the past year as well as increased project revenue from certain clients. Gross margins excluding pass through activity was 32% for the quarter which is at the high end of our targeted gross margin range of 25 to 30% primarily due to the positive impact of controlling our operating costs as well as the impact of higher margin project activity. SG&A for the service fee segment was consistent with the same period of the prior year. The adjusted EBITDA for the service fee business was $2.2 million compared to $1.2 million of adjusted EBITDA in the prior year period. For our supplies distributors business segment revenue was $60.6 million in the fourth quarter which was relatively constant as compared to $59.8 million in the prior year period. However, while revenue was constant we did have improvement from a profitability standpoint as gross margins for the business improved slightly on a year-over-year basis to 6.8% this year as compared to 6.2% in the prior year fourth quarter. Also we had reductions in both interest expense and income taxes on a year-over-year basis. Now let’s turn over to eCOST.com. In the fourth quarter of 2007 eCOST.com revenue was $28.5 million compared to $21.1 million last year a 35% increase. On a sequential basis eCOST.com’s quarterly revenue of $28.5 million improved compared to $27 million in the third quarter of 2007, $27.1 million in the second quarter and improved significantly compared to the $21.6 million in the first quarter of 2007. The gross margin for the fourth quarter was approximately 9% compared to 6.9% last year. As Mark mentioned earlier, we hope to continue to drive higher margins as we expand the selection of products available on eCOST.com and achieve our target breakeven gross margin of approximately 10% in the near future. Also we are continually looking to increase the number of virtual warehouse agreements as they generally can operate with higher margins. We continue to be very focused on controlling SG&A costs within the eCOST business. We have maintained a consistent cost level this quarter as compared to the September 2007 quarter. In addition, as noted previously our costs are down significantly from the levels experienced in the prior year. The net results of the increased revenues along with the improved gross margin and cost focus is a significant improvement in eCOST.com’s bottom line performance. eCOST’s adjusted EBITDA reflects a loss of $0.3 million for the December quarter, continued improvements over the last three sequential quarters and a dramatic improvement over the prior year loss of $1.6 million. Now let’s discuss some balance sheet highlights. Our consolidated cash position remains solid with cash, cash equivalents and restricted cash balances exceeding $6.3 million as of December 31, 2007. Our accounts receivable and inventory levels continue to reflect solid turnover results during this period as well. As we look to 2008 we currently expect that our capital expenditures will be approximately $5 to $8 million. This is dependent on our continued success in winning new service fee clients and the infrastructure needed to support these clients. From a banking perspective our banking relationships remain strong. Within the next few days we expect to renew, extend or amend certain of our asset based financing facilities for our service fee and supplies distributor business segments. These new agreements have terms that are either at or somewhat improved from the prior year levels resulting in increased working capital financing availability. The facilities that we have in place are primarily asset based facilities which are secured and collateralized by the underlying assets of the business primarily accounts receivable and inventory. While there are macroeconomic issues facing the banking industry today we believe our asset based facility structure is advantageous for us within this environment. Now I’d like to turn the call back to over to Mark for our closing remarks.
Mark C. Layton: Just to clarify one point Tom, on the cash balance amount I just want to re-cover that in there because we had a bit of a typo here but our consolidated cash position as of December 31 with cash, cash equivalents and restricted cash was $16.3 million, $16.3 million as of December 31, 2007. Obviously the 2007 results we’re real happy with where we are, dramatic improvement in our bottom line performance and in each of the operating entities and now it’s onward and upward and we’re going to look forward to 2008. Let me give you a little overview of our guidance for 08. We’re currently targeting consolidated revenue excluding pass through revenue for 2008 to be in the range of $445 million to $475 million. As Tom stated earlier, we believe that adjusted EBITDA is a key major to gauge the profitability of our business so we will provide our guidance on an adjusted EBITDA basis. For 2008 we are targeting consolidated adjusted EBITDA of $10 to $12 million. Our adjusted EBITDA guidance as far as the impact of restructuring one client contract with this restructuring that will result in lower service fee revenue under the contract and reduced capital asset charges on related equipment so it has a little bit of an impact on the EBITDA side but less of an impact on the bottom line aspect of things in there. So this year we’ve chosen to also provide you an estimate of our non-GAAP net income for 08 which we believe will be in the range of $1 to $3 million. So in recap that’s $445 to $475 million on the top line, EBITDA of $10 to $12 million and a adjusted or non-GAAP net income guidance of $1 to $3 million positive on the bottom line. Just a quick comment with respect to our current market valuation we’re clearly disappointed with where the shares have traded. We feel that there is a clear misperception between our current stock price and the performance of our business as a whole. In an effort to try to rectify this situation we’re turning our effort to initiate an active RI campaign to achieve greater visibility. We need to attract additional sell side analysts or attract sell side analysts period and focus these efforts on enhancing shareholder value. That concludes our prepared remarks for today. Tom, Mike and I will now be available for questions that you may have.
Operator: (Operator Instructions) Our first question is coming from John Fitzgerald with Bishop Rosen & Company. Please go ahead.
John Fitzgerald – Bishop Rosen & Company: One of the concerns I guess as we go through 08 here, our banking relationships, loan covenants, etcetera, I think you guys are in pretty good shape. Would you kind of comment on where you stand, the shape that you’re in there, relationships and basically the condition of some of your lenders?
Thomas J. Madden : As I indicated in my comments we are in the process right now of finalizing over the next couple of days some renewals and extensions of a couple of our working capital facilities that we have in place for both our service fee business and supplies distributors business units. We have in place today across all three service fees, supplies distributors and the eCOST business primarily operate on asset based facility agreements which are properly secured by the accounts receivable and the inventory and collateralized through those instruments. The banking relationships have been quite strong with us. They like the improved performance of the business units. They have been able to work with us to address some of the growing working capital needs of the business over the last year so that’s all been favorable. The relationships that we have in place are with large financial institutions including Wachovia, Comerica and IBM Global Finance. All three are very sound financial organizations and again it’s been a continuing improving relationship that we have in place with them. 
John Fitzgerald – Bishop Rosen & Company: Tom, if I may interrupt you. You indicated over the next few days, do you have every reason to believe that this will go according to plan?
Thomas J. Madden : Yes.
Operator: (Operator Instructions) Your next question is coming from John Hickman with MDB Capital Group. Please go ahead.
John Hickman – MDB Capital Group: I’ve got a couple of questions, you said something about your supplies distributor was affected by foreign exchange and also by lack of promotion or advertising there. Is that what you said or did I catch that right?
Mark C. Layton: Yes, that was a comment primarily applicable to earlier quarters in the year which we had previously discussed and disclosed. A good high portion of our supplies distributors business is driven through our activity with IBM and now Infoprint. In the early part of 2006 IBM had been doing an additional amount of vendor promotional activity in order to drive some increased volume to its products so it generated some additional sales volumes in early 2006 which created difficult comparisons year-over-year and some of that promotional activity while it didn’t occur at the same levels as what it had been doing previously. So that was one component of it and then secondly because of movements from a foreign currency standpoint there were opportunities available to certain customers in the US to buy some of that product internationally from other channels that were cheaper than buying the product directly through our master distributor relationship and it took a couple of months for the vendors to work through that pricing situation and get that taken care of. So there was some loss of revenue the early part of this year applicable to that situation, early part of 07.
John Hickman – MDB Capital Group: I’m sorry I don’t have this and maybe you don’t have it either but when you started 2007, a year ago when you did this call can you remember what the guidance was for the year as far as revenues and EBITDA?
Mark C. Layton: Yes, our revenue guidance was $420 to $435 million and our adjusted EBITDA guidance was $8 to $10 million. The $420 to $435 million excluding pass through revenues so from a total results standpoint our adjusted EBITDA performance was in excess of the range, we ended up at $10.9 as compared to that $8 to $10 million level. So quite pleased with that.
John Hickman – MDB Capital Group: And then could you give us any kind of guidance about what you expect for the pass through revenues going forward? It seems like it’s kind of creeping up slowly but surely each year and do you see any changes there?
Thomas J. Madden : It’s kind of hard to predict. It depends on the individual client relationship that we will have in place and the types of things that we are performing on their behalf. The majority of this activity relates to freight charges that are passed through to our clients so it depends on whether the new relationships that we bring on have the freight activity run through our business account with the freight carrier or whether they have a direct relationship.
John Hickman – MDB Capital Group: And then if I could just ask you, I mean you went through a whole kind of I mean you spent quite a bit of time on eCOST here and you indicated that the two keys are gross margins, new products with higher gross margins or you just kind of a ramp in revenues here, so if you could just focus on one thing there, I mean the key to you is what is your like overriding concern there or overriding focus?
Mark C. Layton: Well we’ve got to expand the gross margins. It’s a critical factor in our ability to be able to do a number of things and the technology and consumer goods category. It’s a great category in terms of the selection, it’s a hot web category, people are comfortable buying those products over the web, it’s fast moving, lots of new products out there and so on. So there are great characteristics about the technology and consumer electronics area. Unfortunately the pricing of those products is probably the most competitive area that there is and as a result the available gross margins are relatively low. We can’t effectively use many of the available online advertising methods to acquire customers with products with low gross margins because ultimately the financial model that you find in that just doesn’t work. So we’ve got to expand our category of products to drive a number of things. First is as we expand the category we get into categories that have higher gross margin potential to them. That makes it easier for us to pay or to acquire customers because there’s more gross margin dollars in the order than there is in just the technology order. The second part of it is that it drives the retention rate of customers higher we believe because we have a broader range of products for the customers to be able to choose from and thus their repeat purchasing patterns typically increase underneath that versus a narrower product selection category where purchases are not made as frequently. So back to the one thing, we need to expand into products that have higher gross margin potential because we see that as the kingpin of a number of the things that we want to drive improvements in the business with.
John Hickman – MDB Capital Group: And then is there, if you had to pick or name your major competitor in the hot deal section, you know how you’re becoming known as hot deal, is there one or two other places that this consumer would go to?
Mark C. Layton: TigerDirect and Newegg are probably our two biggest competitors in the consumer electronic and technology product area. We do have some competition with the big box retailers but our pricing is significantly better generally than what you see there. As we expand into other product categories that brings in the likes of Amazon and Overstock in those categories there that we believe we have a number of operating advantages and pricing advantages in just the way that we offer products versus those two entities that I mentioned.
Operator: Your next question is coming from George Welsh with Gilford Securities. Please go ahead.
George Welsh – Gilford Securities: I wondered if you could just follow up on that last question in terms of the macro environment, how is your pricing ability for being the deal site relative to even the regular retailers are probably going to be doing a lot of marking down and how competitive do you see that getting going forward?
Mark C. Layton: We’re in a different game. The products that we’re selling in many cases are different SKUs and the manufacturers have become very sharp, if you will, in their methods in order to try to eliminate direct price comparison on a lot of technology products themselves so it really comes down to an analysis of the technical specs of a computer for example and what price point you can get it at, but no two computers, this isn’t exactly true, but in many cases no two computers are exactly the same. So it becomes a question of how you as an individual value certain technical components that are in that scenario from there so as a result markdown activity isn’t always directly resulted out there. I would tell you that what we’re seeing right now is steady margins on the notebook side, there’s just not a lot of room to move. The industry or the channels inventory position in these products for quite some time has been generally healthy. You look at the big box guys and when HP wants to move a new, or any manufacturer, wants to move new models if the old one is still there then the shelf space isn’t available so they’ve got to take the old ones back to get the new ones in. So they come back to the manufacturer and that actually creates opportunities for us because those products are then marked down by the manufacturer and moved into our secondary channel where will sell them as closeout products. So the markdown environment actually creates a more robust deal environment for us and typically you’ll see the big box guys just stay out of that. They’ve just got the buying power to be able to push that stuff back onto the manufacturers and then the manufacturers are the ones that move it into the channel for us.
George Welsh – Gilford Securities: Any insight as far as your deal customers in a recessionary environment that we’re in, are they still motivated and they’re still active? 
Mark C. Layton: We’re in the first quarter and we’re trying to understand how this quarter is going to be seasonally. When we go back to the first quarter 07 we were actually up Q4 06 to Q1 07 at eCOST in revenue. I don’t expect that that will be the case in this scenario here. I think we’re going to see more of a seasonal adjustment that we would have normally expected. Last year we were being driven by a lot of micro improvement issues that were going on within the business itself and we were kind of dramatically recovering at that point. We have less of that tailwind if you will this year than we had last. But, I would say that based on looking at the eCOST business activity when I go back and look at 05 and 04, right now when we compare Q4 of 07 to where we are with Q1 of 08 I would say that we see a relatively typical seasonal adjustment. So, with that as a backdrop at this point I don’t see anything recessionary impacting our consumer business. Now, clearly everyday we’re mindful of all the news that’s there and concerned about what would happen but at this point I can’t report any recessionary impact on the eCOST business. 
George Welsh – Gilford Securities:  Okay. And how about on the services side, anything special with your retailers? 
Thomas J. Madden : I would say that it is similar to what Mark said that we’re seeing our typical first quarter seasonal adjustments for retail clients but there’s no clear indication that any of our clients in particular are affected by any of this recessionary news.
George Welsh – Gilford Securities: Was there anything that they might step up their home line efforts in a recessionary environment?
Thomas J. Madden : Well, I think there are clear advantages to the online channel. I think frankly in any environment but especially in a situation where you’re really trying to maintain your SG&A costs there are efficiencies in an online channel versus some of the other channels such as a brick and mortar that enable a client of ours to expand that channel and even offer pricing alternatives that would incentivize consumers to use that channel. I think you’ll see an increase in the amount of online business relative to some other channels that our clients may be using.
George Welsh – Gilford Securities: Just one more, is there anything – if you could elaborate a little more on that Demandware alliance and what that sort of means in the future for you guys.
Thomas J. Madden : As we indicated we’re very excited about the offering we have in place now. A big part of that offering is the selection of Demandware as a technology partner. The addition of that technology really completes what we believe is an end-to-end offering that includes the front end services such as eMarketing and demand generation, search engine optimization as well as the technology and as well as our traditional back office services such as call center, high end customer care and fulfillment and financial processing. The selection of Demandware, there’s really four elements that went into that. We did an exhaustive search really involving all of the high end ecommerce software providers and there were I think four different reasons we selected Demandware. The first is that they have the, in my opinion, the best on demand software service delivery model. The models that they have give them and us as a partner great scale and flexibility and leverage because of their on demand model. And, maybe most importantly they offer continuous automatic upgrades which is a huge advantage over traditional software because with traditional software you have to go through every year to 24 months an upgrade process that is risky and time consuming and expensive. They have great technology and they have a laser focus on empowering their ecommerce merchandisers and traditional software licenses kind of target IP where their technology really targets the ecommerce merchandisers. The third point is they have a service delivery model that is very much like ours that incents them to remain engaged with us with our clients. To innovate and improve the clients’ business because as the clients’ business improves and more revenues flow through clearly we benefit from that and the Demandware relationship because of the way it’s delivered also benefits. So, they are incent is to stay engaged unlike some other tradition software providers we looked at. The last point was we have just great partnership alignment with them. We have similar cultures, we have similar entrepreneurial spirit, we both as companies believe in empowering our individual employees and holding them accountable to delivering great services and we have a sharp focus on growth and renewed customer acquisitions. So, there’s just great chemistry between the two companies. So, at the end of this search, it was in my opinion the clear choice to go with Demandware. They plug in great to our solution to complete the end-to-end offering and we’re just very excited about taking this to market. Our pipeline currently shows a lot of possibilities directly from this relationship and while I think we’re going to have an impact in 08 I am even more excited about what we’re going to see in 2009 and beyond as we really start to see the benefits of this offering.
George Welsh – Gilford Securities: Okay. Then, your last point there, they offer – they’re helping in the new client acquisition in your pipeline?
Thomas J. Madden : It’s very much a cooperative sales effort. We’re engaged with them as we talk to clients. As we’re presenting this total solution they come in and talk about their technology and to help in that process so it’s very much a partnership, it’s not an alliance, it’s us working together to deliver the solution for our clients. 
Operator: Your next question is coming from Jim Kern with LaSalle Investments. Please go ahead.
Jim Kern – LaSalle Investments: I didn’t see a revenue ramp from quarter-to-quarter as I guess I would have thought. I think you were indicating you were hoping for more of a ramp. I’m looking at Circuit City, Amazon Overstock, they have ramp third quarter, fourth quarter of anywhere of 3 to 70% on revenues. So, I’m just wondering if you could comment on that is it somewhat planned or general comment on that? 
Mark C. Layton: Are you speaking specifically for eCOST?
Jim Kern – LaSalle Investments: Yeah, specifically for eCOST.
Mark C. Layton: In the prepared comments and I kind of went through this quickly and we didn’t disclose the individual pieces but when you look at Q3 to Q4 the consumer business was up nicely, up sharply in that piece in there but we have a business-to-business segment in there that really doesn’t do a lot of activity after Thanksgiving. So, it was down in contrast between Q3 and Q4 so you see a generally flat sequential quarter between Q3 and Q4 but when you peel back one layer you’ll see consumer up for the holiday significantly and the BtoB segment in there down sequentially. 
Jim Kern – LaSalle Investments: I’m sorry I didn’t catch that earlier or in the release. Can you give me the consumer break down from quarter-to-quarter?
Mark C. Layton: We didn’t disclose, we don’t disclose the individual pieces.
Operator: (Operator Instructions) Your next question is coming from Chris [Praniglia] with Stifel Nicolaus. Please go ahead.
Chris [Praniligia] – Stifel Nicolaus: I know we’ve talked about how weak we feel our stock is, have we considered doing a buy back?
Mark C. Layton: The use of a buyback and reverse, all these instruments are discussed all the time by our board and our IR firm and so on. We go back and forth on a lot of things. The issue we have on the buyback side of it is, is that cash remains a valuable resource for us. We don’t see in this market an ability to go and re-raise it again at an instant when we need it. We need the flexibility in order to assure we can continue to promote growth so I really don’t want to use cash to buy back shares because we’re just going to end up in a situation where there’s a chance we’re going to need it. Second to that, the lending agreements that Tom described earlier all would require approval and changes through credit committees in order for us to be able to use the cash because clearly that’s a part of the underlying securitization of these agreements that we have. So, it’s just a more complex answer than just saying, “Let’s buy shares back.” If we had a huge stockpile of cash clearly the stock is cheap and that would be an avenue to do that. I just don’t feel like we’ve got the type of robust flexibility that I would want to have in order to undertake an activity like that. 
Chris [Praniligia] – Stifel Nicolaus: We’re actually finally sitting with a level of revenues that seem pretty significant. Have we been approached by anyone to be possibly acquired? 
Mark C. Layton: No. 
Operator: Thank you. There appear to be no further questions. I would like to turn the floor back over to management for any closing comments.
Mark C. Layton: Thank you everybody for their time and if you have any further questions feel free to contact Tom directly. Have a great week.